Operator: Greetings and welcome to the Synchronoss Technologies Inc, Fourth Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions] Please note this conference is being recorded. I will now turn the conference to your host Joe Crivelli. You may begin.
Joe Crivelli: Thank you. Good afternoon everyone. Welcome to the Synchronoss Technologies Fourth Quarter 2019 Earnings Call. Glenn Lurie, President; and David Clark, CFO are joining me on the call. During the call, we will make statements about our expectations for 2020 and beyond, these may be considered forward-looking statements within the meaning of the federal securities laws, including statements about financial trends, future results of operation and financial position, business prospects and market opportunities. Generally, forward-looking statements are identified by words such as expects, believes, anticipates, intend and other indications of future expectations. These forward-looking statements are based on the business environment as we currently see it and include certain risks and uncertainties. Please refer to our SEC filings for more information on the specific risk factors that may cause actual results to differ. Any forward-looking statements on this call are based on the assumptions as of today and we undertake no obligation to update these statements as a result of new information or future events. In addition to U.S. GAAP reporting, we report certain financial measures that do not conform to GAAP. We believe these non-GAAP measures enhance the understanding of our performance reconciliation of the GAAP measures to their non-GAAP measures in addition to descriptions of the non-GAAP measures can be found in today's earnings press release. I'll now turn the call over to Glenn Lurie.
Glenn Lurie: Thanks, Joe. Good afternoon, everyone. Today after market, we announced earnings for the fourth quarter, which represented a solid finish to 2019. Revenue was $90.6 million, which is the highest quarterly revenue total since the fourth quarter of 2017, and adjusted EBITDA was $6.5 million our sixth consecutive quarter of positive adjusted EBITDA. For the full year, revenue was $308.7 million, EBITDA was $27.6 million, which is in line with the revised guidance we issued on last quarter's call. It is unfortunate that STI issues obscure what a strong financial results that company had in 2019, as without these issues, we would have hit both our original revenue and EBITDA guide for the year. I want to leave investors today with three very clear messages. First, with the major new business, wins we booked in 2019, and the quality of our new business funnel, we believe we have the business in hand to meet our financial objectives in the coming years. The results in fourth quarter, which is our first full quarter without a major contribution from STI should provide investors with objective evidence of our momentum. We continue to be optimistic about the additional new deals in our pipeline and in all four of our platforms, and believe we have even more new contracts ahead of us in 2020. Double-digit revenue growth is a reasonable expectation in 2020 and we will discuss when we talk about full year guidance in a moment. But I want to make it clear, if we simply execute on the numerous new business wins we booked in 2019 along with the quality of our pipeline, we believe, we can fuel profitable revenue growth in 2020. Second, we have $39 million of cash in the fourth quarter end, up from $20 million in third quarter. David will discuss the drivers of cash balances in a moment. We continue to focus on optimizing our liquidity levels, improving free cash flow, reducing our investment in working capital and monetizing our assets. And third, we have taken and continued to take positive actions to optimize our cost structure. For the past two years, we have reduced operational expenses while simultaneously investing in our product platforms to grow the business. This is evidenced by improvements in our adjusted gross margin, the progress we made in narrowing GAAP and operating loss and the consistent positive adjusted EBITDA we have delivered over the past six quarters. And we are not done as we continue to look for additional opportunities to continue to optimize our cost structure. David will provide more details in a moment. Let me highlight some of the Company's 2019 business wins. Our announcement this morning of our cloud deal with AT&T, which is the U.S. based Tier 1 cloud deal we discussed in the third quarter call, means, that we now have the two largest carriers in the United States enabling our cloud platform, combined AT&T and Verizon represent over $270 million subscribers. We also launched TracFone cloud this quarter, adding another $21 million subscribers to our total addressable market, and launched our cloud service on Assurant's Pocket Geek application in February. These customers represent an additional addressable market of approximately 20 million subscribers across multiple continents. While AT&T and TracFone and Assurant are early in their deployments, we are confident we will see incremental revenue in 2020 and these customers will grow into meaningful revenue stream for Synchronoss for years to come. For example, assuming a very modest 5% penetration over the three years, these customers have the potential to grow into a pure SaaS revenue stream for Synchronoss that nearly equals our current cloud business. We continue to execute well and build on our subscriber base within our existing cloud customers Verizon, British Telecom, Proximus, SFR and Frontier. Organic subscriber growth at Verizon was in the low-teens in 2019, demonstrating that our cloud continues to drive strong value proposition for mobile phone users. In addition in 2019 and in early 2020, we have renewed contracts with three of our legacy cloud customers BT, British Telecom, for an additional 5 years; Proximus, an additional 3 years; and SFR, an additional 2 years. We are working with all of our existing customers to bring best practices for growing their base of cloud subscribers. They realized that simply by refreshing and renewing their efforts to market the cloud platform will help them drive incremental revenue and incremental EBITDA. This is low hanging fruit for both our customers and Synchronoss and we are seeing good uptake here. Our sales momentum in cloud is a strong validation of the interest being fueled by three key drivers. First, carriers must look for new sources of incremental revenue and we shown the industry that our cloud platform is a plug-and-play solution that achieves that goal. Second, as the industry moves towards widespread adoption of low latency 5G technology, we believe that onboard device-based storage will decrease in importance and the most valuable and personal customer content will be stored in the cloud. And third, mobile operators now know their customer data is perhaps one of their most valuable assets and that they cannot and should not relinquish control over that data to a competitor that will monetize it. We are squarely at the epicenter of these three powerful trends. Another trend impacting our customers in the wireless ecosystem is the advancement in customer messaging, specifically RCS-based advanced messaging. Carriers globally have seen competition from over the top messaging apps with a clear goal to disintermediate the carriers from their customers and take all the monetization opportunities available in the messaging space. In Japan and now in the United States, Synchronoss has shown the carriers how to compete and enable the technology that will help them defeat this threat. Many of you saw the presentation that the Japanese carriers gave at BizLab, Tokyo in late 2019, outlining their plans to grow the Plus Message RCS application from 13 million to 40 million subscribers by the end of 2021. They also highlighted used cases which they are seeing 85% open rates for RCS B2C, business-to-consumer messages exceeding the 40% open rates they've experienced in traditional B2C email and SMS messaging campaigns. We believe this data coming out of Japan deployment indicates that our RCS Messaging solution will evolve into a powerful digital and e-commerce platform for our customers. Our success in Japan was a key factor in helping us win the RCS advanced messaging contract with the Cross-Carrier Messaging Initiative or CCMI joint venture of AT&T, Sprint, T-Mobile and Verizon in November of 2019. Our work with CCMI will drive meaningful licensing revenue in 2020 and beyond and in fact already made a meaningful contribution to the fourth quarter of 2019 revenue. And we're seeing upside in the total minimum contract value from additional programming work that was recently outsourced to Synchronous by the joint venture. Also note, there are approximately 230 million smartphones in United States compared to approximately 70 million in Japan, so the U.S. market is roughly three times the size of the Japanese market. As a result, we believe that CCMI RCS messaging deployment in 2020 will be extremely attractive to brands that want to reach customers with a more engaging, interactive and effective marketing tactics that they can deploy. Our first-mover advantage in launching advanced messaging in Japan and now bring it to United States gives us global credibility when competing for advanced messaging deals in other parts of the world. It is clear to global operators that there is an RCS messaging solution available that already been deployed and is operating at scale. We believe this gives Synchronous unique competitive position that no other company in ecosystem can claim. We made solid progress in continuing to build out our Digital Experience Platform or DXP in 2019. As investors know, the basis of our DXP was our 2018 acquisition of honeybee, which gave us a cloud based, purpose-built, unique low code, no code platform to build and manage omni-channel customer journeys and workflows. In 2020, we combined our journey creator with an advanced catalog and decision engine modules and now believe DXP is the most comprehensive tool for a low code, no code, customer journey creation and management. We believe we're in the right space at the right time with DXP. A recent Inc. magazine article called low code, no code software platforms, the industry disruptor, you should pay attention to and cited Gartner and Forrester research that indicates these platforms will top 21 billion in spending by 2022 and account for 65% of all app development by 2024. We signed several new customers for DXP in 2019 including Wireless Advocates, a major third party provider and retailer of wires, products and services in over 600 retail locations as well as our selection by Amazon as an integrator for digital products, for operators around the world, the first of which we'll be launching this quarter; And British American Tobacco or BAT, where DXP is being used to create and manage customer buying experiences initially in the UK, Poland and Germany. We are seeing good progress and the proof-of-concept and BAT was so excited about what we were doing for them that they recently previewed the solution at their board of directors meeting. Within our IOT business we completed a number of important objectives, set the stage for 2020 and going forward. First we forged partnerships with some of the most important players in the IOT smart building space, Arrow, Tridium and Accruent. Arrow is now our global partner to provide equipment monitoring tools and installation services. The Tridium and Accruent partnerships integrate the Synchronous smart building platform with two most widely used building management systems, enabling us to add consumption analytics and system monitoring to their solutions while enabling two way communications so building owners can alter settings on the go. In 2019, we also installed smart buildings platform at Rackspace headquarters and its data centers in San Antonio in which we help Rackspace save approximately 19% on their monthly utility costs. As a result, we are expanding the relationship to include five additional facilities in the U.S. and Europe. It's approved case like these that make us confident that there is a ready market for our solution, validate the potential for this business to grow into a meaningful revenue contract contributor in the coming years. As I said earlier, given the sales success in 2019, the new business wins a new customer relationships that we are ramping this year, we believe, we have the business at hand to accelerate profitable revenue growth in 2020, David will discuss guidance shortly. So in conclusion, we are entering 2020 with the business, the cost structure, the customers and obviously the people to grow profitably. We are optimistic about the year and feel good about our competitive positioning. Our white label cloud is helping carriers to drive additional revenue and profitability, while our messaging platform is helping them defeat the threat of OTT messaging applications. Our DXP and IoT solutions are gaining momentum and bringing the Synchronoss name to entirely new industries and increasing our addressable market outside of our traditional TMT space. The entire team is singularly focused on 2020 being the year that we accelerate momentum, continue to strengthen our balance sheet and continue to build for the future. Lastly, the impact of the coronavirus is something all companies are contending with right now and we are no exception. At this juncture, it's difficult to predict what the impacts will be, but here's what we know. Mobile World Congress, Barcelona, the biggest trade show in our industry was canceled in February and that's traditionally an important show where we have numerous productive conversations with our current and new potential customers. In Asia-Pacific where we generated 16% of our revenue in 2019, and in particular in Japan, many of our customers are restricting travel and limiting visitors to their offices. We at Synchronoos have formulated an action plan to work through these issues and to do business in a different and new way that will allow us to continue to successfully move forward under these circumstances. We believe that the guidance range David will discuss in a moment takes these factors into consideration and into account with what we know today. We will monitor this daily and if the impact worsens, we believe that there may be additional cost actions that we'll have to take in the future. With that, David will discuss the financials. David?
David Clark: Thanks, Glenn, and thanks everyone for joining us. I'll review our fourth quarter and full year 2019 results and provide guidance for 2020. Revenue for the quarter was $90.6 million, up 10.3% compared to $82.1 million a year ago quarter. For the full year, revenue was $308.7 million compared to $325.8 million in 2018. Excluding the third quarter, STI write-down full year revenue would have been $334.7 million, up 2.7% year-over-year. Recurring revenue was 62% of total revenue in the fourth quarter compared to 69% in the third quarter. For the full year recurring was 71% down from 79% in 2018. Recurring revenue was a lower percentage of total revenue 2019, primarily due to the licensing revenue we realized from CCMI and the Japan Messaging initiatives. Cloud revenue was $41.1 million down 3.4% compared to $42.6 million in last year's fourth quarter and up sequentially from $40.5 million in the third quarter. For the full year, cloud revenue was $162.7 million, essentially flat from $162.6 million in 2018. As we've noted in the past, the accounting treatment of our cloud business smoothes revenue over the life of the contract, which is why revenue was flat despite the fact we grew subscribers in our low teens. Digital revenue was $14 million in the fourth quarter. This compares to $25.3 million in the quarter a year ago. For the full year, digital revenue was $53.8 million down 45.9% from $99.4 million in 2018, primarily due to lower revenue STI. Messaging revenue was $35.4 million, up almost 150% from $14.2 million in year ago quarter, and up just over 100% from $17.1 million in the third quarter. For the full year, messaging revenue was $92.3 million, up 44.4% from $63.9 million in 2018. The increase was primarily driven by revenue from CCMI and the Japan messaging initiatives. I’ll now discuss profitability metrics. Total costs and expenses were $108.8 million in the fourth quarter compared to $124.4 million in the fourth quarter of 2018, a decrease of 12.6%. For the year, total costs and expenses were $416.5 million, a decrease of 15% compared to $490.1 million in 2018. The reduction in total costs and expenses reflect continued cost cutting, operational efficiencies, lower costs associated with data storage as we continue to migrate to the public cloud and lower restructuring charges in the year. Within the 2019 expense space is the $25 million investment we made in future growth during the year as signaled on last year's fourth quarter call. We do not intend to make a similar level of incremental investment in 2020. In fact, we were planning to reduce total costs and expenses again in 2020, to drive EBITDA and continue to optimize our cost structures by approximately $15 million. Adjusted gross profit in the fourth quarter was $48.9 million and adjusted gross margin was 54%. For the full year, adjusted gross profit was $187.7 million and adjusted gross margin was 60.8%. Gross margins were a bit lower in Q4 than in prior quarters due to the impact of lower margin licensing revenue associated with the initial execution stages of the CCMI deal. We made meaningful progress to narrow losses in 2019. For the fourth quarter, non-GAAP loss from continuing operations attributable to Synchronoss was $2.5 million, a decrease of 96.9% compared to $80.8 million loss in the year ago quarter for the full year. It was $53.8 million compared to $176.9 million, in 2018 a 69.6% decrease. Adjusted EBITDA for the quarter was $6.5 million, compared to $15.4 million in the fourth quarter of 2018 and up from $5.8 million in the third quarter of 2019. For the full year, adjusted EBITDA was $27.6 million compared to $14 million in 2018. Turning to the balance sheet and cash flow statement, cash and marketable securities totaled $39 million at year end, up from $20 million at the end of the third quarter. The increase in cash was driven by a number of factors, including revenue from CCMI net of expenses, cash receipts from STI to reduce outstanding AR balances, and the sale of unused IP addresses for approximately $5.5 million. We also utilized $17 million from our Citibank supply chain financing. Note that, we ended the quarter with no draw downs under our revolving line of credit with Citizens Bank and $10 million of availability. Although, we have not used this line of credit to date in 2020, we do expect to utilize the lines throughout the year based on fluctuations in working capital. In addition, I'll note we've done a good job of managing our overseas cash and have reduced overseas balances to what we believe is the minimum level needed to support international operations. Our accounts receivable was $65.9 million at year end. After fourth quarter payments and netting out all of the Company's accounts, our balance sheet exposure to STI was down to approximately $6 million at quarter end. Net cash provided by operating activity for the year was $32 million compared to a $31.4 million use of cash last year. Now I'll turn to guidance. In 2020, revenue is expected to be in the range of $320 million to $340 million, and EBITDA expected to be in the range of $25 million to $35 million. As Glenn mentioned, like all companies we are concerned with the coronavirus and our guidance range currently contemplates a potential impact on our revenue with what we know today. Glenn mentioned what we are seeing presently and if the coronavirus continues to impact the economy, there are additional costs saving levers that we can pull. Key to our assumptions is revenue and EBITDA contribution from new deals booked in 2019. We announced a number of new deals in 2019 that we expect to contribute to 2020 revenue that includes CCMI, AT&T cloud, TracFone, Assurant, Amazon, Wireless Advocates and others. I'd like to provide a few details on a few of these deals. The contract with CCMI is expected to be a major revenue contributor for Synchronoss in the coming years, and we continue to expect this contract to exceed the value of our messaging initiative in Japan, both from an overall contract value standpoint and from a standpoint of its annual contribution to revenue and EBITDA. We also see upside to the contract in a couple of ways, growth in messaging platform and sale of additional licenses and additional professional service work. Of these, I'll note, we expect to see contributions from additional work in the first half of 2020. Investors know that Verizon is currently our largest customer and provides a significant portion of our cloud revenue. We are optimistic the AT&T cloud deal can bring similar value to Synchronoss over time; however, it will take time as Verizon has been building its subscriber base since 2013. And while TracFone, the largest MVNO in the United States has a smaller customer base in Verizon and AT&T, we are optimistic of this new business win. TracFone is bundling cloud with their higher value plants and expected to grow into the meaningful customer and revenue contributor for Synchronoss. In addition to the conventional wisdom that prepaid subscribers are a different demographic than postpaid is changing as more and more subscribers move to economical prepaid plans. Finally, most phones included in prepaid plans have lower onboard storage, increasing the importance of a cloud solution so subscribers can store valuable data and content. One final note, the pervasive material weaknesses noted in our last two 10-K reports are results of the 2017 re-filed and 2018 re-filing the statement have been remediated, and we believe there'll be no pervasive material weakness noted in the 2019 Form 10-K which we expect to be filed later this week. Glenn will make a few closing remarks before we open the line for Q&A. Glenn?
Glenn Lurie: Thank you, David. I just want to just reiterate the three points I started at the beginning of this call. We have the business and sales pipeline today that we expect to propel growth for 2020. We are seeing renewed marketing energy from our existing cloud customers to promote and grow their cloud business, and we have three exciting new cloud customers in AT&T, TracFone and Assurant that have all launched their cloud offering in Q1 of 2020. Obviously, this is encouraging for the future of our cloud business. We believe the launch of advanced messaging in United States with CCMI and continued growth of the plus message platform in Japan will drive revenue momentum and the messaging business. In addition, our digital and IoT businesses are gaining momentum and expected to grow into major revenue contributors for Synchronoss, which will provide potential upside in 2020 and additional channel profitable growth in 2021. And we are continuing to take strong actions to optimize our expense base and continue our costs reduction efforts. Our EBITDA guidance range for 2020 is reflective of additional cost savings that we have executed in the first quarter to position Synchronoss for profitable growth. As we have mentioned, we are watching the impact of the coronavirus carefully. However, we believe we have a good plan of attack to move the business forward and if needed, take out additional costs in the event that there is a lasting impact on the overall business. All told, we are very excited about 2020. With that, let's take questions.
Operator: Thank you. [Operator Instructions] Our first question is from Mike Walkley from Canaccord. Please proceed with your question.
Mike Walkley: Congratulations on the AT&T cloud announcements. Just a little more color, just given the experience with Verizon and having the top two carriers, how should we think about 2020 impact from this contract versus maybe the five-year impact?
Glenn Lurie: Hey Mike, thank you for the question. I'll start and look to David. As David and I both said, we are really excited to have AT&T as a cloud partner. They obviously announced their launch today. So they're just getting started. And as we say, we do expect to see revenue in 2020, they're going to grow their cloud business from scratch, so from zero. And as we've talked about in the past, our economics and the business model is obviously a per subscriber model, so we will see that grow over the year. The excitement also is just how excited AT&T is about having this product in place and the ability to market this to their customers. So, we're very optimistic and I'll let David jump in. As he stated, when you think about the overall impact of three new cloud customers we obviously believe there's an opportunity for significant revenue growth in 2020 specially '21 and '22.
David Clark: Right. So, it's obviously embedded in our guidance expectation, Mike.
Mike Walkley: Okay.
David Clark: It really depends on their marketing initiatives and how rapidly they grow, as we said, they're starting from a standing start.
Mike Walkley: Yes. It makes sense. And then just on Verizon. Any update just on how that business is going with them and the timing for potential renewal dates with them coming up, anything you could share along the Verizon context?
David Clark: I mean, we're still experiencing the subscriber growth we expected. As I said, we basically because of 606 -- we basically spread that evenly throughout the life of the contract. So that's the only update really on Verizon.
Glenn Lurie: Like I said in my comments, we've seen strong growth obviously in 2019. I mentioned the low teens, overall subscriber growth. We have a very, very strong relationship, obviously with that team and excited about their marketing plans for 2020.
Mike Walkley: Great, thanks. And then I know, Glenn, you guys have done some things with Sprint and T-Mobile with that merger moving forward. Can you talk about maybe any opportunities or benefits that could have for Synchronoss?
Glenn Lurie: Yes, we actually are in business with both today. I really can't talk too much, Mike about go forward. You can imagine, they were obviously working very, very hard and both of them in 2019 trying to get the deal done and consummated, and we hope to spend more time with them here early in the new year and see where that takes us.
Mike Walkley: And then last question for me, just on the model, just on the linearity for the year, it sounds like cloud should just grow over time as your new customers add subscribers. But anything you can share, maybe on messaging with CCMI, are there some milestones that we'll hit in different quarters or anything can help us think about that linearity of the year towards your guidance?
Glenn Lurie: Yes, Mike, I think as CCMI noted last year in their press releases, where they just noted they would launch in 2020. Once more information that comes out, I think, we can get more specific around what that might look like, by quarter. But for now, it's very difficult for us to do that.
Mike Walkley: Last question, I guess just on the $50 million in additional cost savings you highlighted for ‘20. Where should we expect to see that, is that OpEx reductions or maybe some gross margin areas that you've also [indiscernible]?
David Clark: Yes, probably both, Mike. We're continuing to get more efficient on both the COGS line and then also within SG&A.
Operator: Our next question is from Richard Baldry from Roth Capital. Please proceed with your question.
Richard Baldry: Given the success you've had with the top carriers on the cloud front in the U.S. Can you talk about whether there's similar potential globally with large scale carriers? What the differences would be to attack international markets versus the U.S.?
Glenn Lurie: Yes, absolutely. I appreciate the question. Yes, we obviously today with our current set of customers do cloud business in Europe, and we fully expect that the same types of issues, the same types of opportunities, the same reasons that I gave in my opening remarks that carriers are seeing are happening globally. So, when you look at -- looking for incremental revenue and you look at how important the content on people's smartphones is, when you look at adding 5G and that really, almost going to a lower arguably no latency, we see the same things happening globally. So, without question, we spent a lot of time and effort in 2018 white labeling our cloud, we did that so it would be a as I call it a plug-and-play initiative and we're definitely having conversations in Europe and Asia around this. So, we expect to see more opportunities. We just launched three new clouds already in early 2020 and like I said we're having good and constructive conversations with others around the world.
Richard Baldry: And touch quickly on Amazon expecting [adds] [ph] on it's the first geographies up in the first quarter. Can you talk about your experiences with that to date, and what the longer term or second half 2020 outlook for that partnership would be?
Glenn Lurie: Yes, I can. We are excited in the sense that we've completed our first and going through our first launch. Obviously, the launches have been pressed back a little bit from a time perspective, but we have our list of carriers that they've asked us to work with. We have dates, and we expect to make more announcements as we go through the early stages here of 2020. As far as impact, if you recall, that business model is a revenue share model based on subscriber. So, similar comments that I'll make that we've talked about with cloud. With each one of those implementations, we start from scratch and they go out in market. When we look at the list, we are optimistic that we will see revenue in 2020 and this will also be one of those great opportunities in the multiplier as we head into '21 and '22.
Richard Baldry: Last thing would be in 2019, you sort of set up your model with an eye to discretionary $20 million to $25 million spending depending on successes and deal momentum, sort of tie that spending to the revenue growth. Have you done something similar in 2020? Or do you envision something similar in 2020? Or do you feel like you've got the momentum behind you with the wins that you've put together now, so you could put for more of a baseline spend in and not have to try to hold that same flexibility like you tried to do in 2019?
David Clark: Richard's, it's the latter. So while we will be investing in the business, we actually expect to net out with a $15 million approximately expense cut at the end of the day. So, we will be investing to support growth but at the same time pulling out cost to basically achieve approximately 15 million net reductions.
Glenn Lurie: And I would only add that some of those investments in '19 were definitely one time investments. And now we feel we have the ability to do the delivery to actually deliver on those deals that we have cut in '19 and what we believe we're going to be able to get done in 20.
Operator: Our next question is from Sterling Auty from JP Morgan. Please proceed with your question.
Sterling Auty: Wonder if you could provide some additional color on some of the renewals you mentioned, three of them that you've now extended or closed. What are the economics on those deals relative to what you had previously? Are they similar up, down?
Glenn Lurie: Yes, so the three you're talking about remind everybody, obviously we're BT for five years. Proximus for three and SFR for two all three cloud deals in cloud partners. As David said, the way we do the majority of our cloud deals is on a per subscriber basis and per subscriber, dollar amount. And so as we obviously push those out, we have to peanut barter that revenue over that period of time. So, you can imagine that as you grow your base and as you go further out the actual cost structures and rev shares on those per subscriber will be lower, so -- but obviously get a longer tenure. So the impacts on those are pretty small, but there are impacts as you can tell by as David went through the numbers, we grew our subscribers in cloud and we're basically flat year over year and part of that was some of these obvious ability for us to renew these contracts.
Sterling Auty: And I think we all respect that you've taken your best shot at trying to estimate the coronavirus impact on the business. If I looked at the midpoint of the range, I think kind of flattish year-over-year. But what should we think about as the puts and takes in the different revenue segments within that guidance range in terms of, what one's growing versus trading versus staying the same?
Glenn Lurie: The midpoint of what we just issued is 330 so that is up from the $308 million, we just announced, $309 million.
Sterling Auty: Sorry, my apologies. I was comparing it wrote there. But what are the puts and takes in terms of the growth rates of the different revenue segments within that 330?
David Clark: As I said, we are expecting growth from a lot of the new deals we closed in 2019 and that really had an emphasis on the three new cloud deals and also the new messaging deals. So, I think the primary drivers are those businesses.
Glenn Lurie: Yes, and I would this to your comment on coronavirus. My comments are this and what I said earlier and I'll give a little more, obviously, we're concerned first and foremost about our employees and our customers. We are going to do everything we can to continue to drive the business. Like I said, we put together a strategy, obviously with Mobile World Congress being, Barcelona being canceled. We are going and touching every single one of those customers that we had planned to talk to, and we've been in the process of doing that. So, we're just -- I think like most of the companies around the globe, we're going to operate differently for a while. And so, we'll utilize technology and video and do a lot less traveling and a lot less face-to-face, but we believe we formulated a really solid plan to continue to move the business forward.
Operator: Thank you. And our next question is from Oren Hershman from AIGH Investment Partners. Please proceed with your question.
Oren Hershman: In terms of Japan and in terms of actually seeing the next step there, whether it's additional subscribers and coming back for additional licenses or whether it's actually seeing B2B and B2C advertising revenue and the like being monetized. What does the timeframe perhaps look like? Is that timeframe being pushed back a little bit?
Glenn Lurie: Yes, I think you broke up a little bit on, but I think your first question was about Japan and the revenue and what we think we'll see. At this point, obviously, the focus there is on licenses and volume, is what's happening in Japan, as we stated and I will restate they came out with three carriers and talked about hitting 13 million subscribers. The goal of getting to 40 million subscribers by the end of '21, obviously, significant for us from a standpoint of that volume that we're looking for in the licensing revenue, obviously, we will continue to work with the carriers and other aspects of messaging that we've talked about and that the platform can do, but that's really the focus right now.
Oren Hershman: And in terms of taking it to the next step, in terms of advertising revenues that are shared B2B, B2C, I know you've done some small trials. What's the latest update there?
Glenn Lurie: Yes, we have done some very good productive trials. We've learned a lot. We've also done some trials in other parts of the world as well, and we're in the process of working through that. As you know, we have a thing called MMP, which is the messaging marketplace that is part of our platform that is exciting. It's an on-boarding portal for the brands. We are definitely looking forward to having more conversations about that and timing. That's really all I can say at this point Oren.
Oren Hershman: Do you think there is more of this year though in terms of that rollout?
Glenn Lurie: Yes, we don't know me. I really can't speculate that far out other than what we talked about on the licensing side and when we have an opportunity, we'll talk more about that.
Oren Hershman: And just one additional follow-up question on the CCMI, you've mentioned that there is a more programming going on. Can you elaborate on that particular in the first half of 2020?
David Clark: I was referring to actually additional professional services work Oren that we can expect to happen in the first half of the year.
Oren Hershman: It sounds like it was more than you originally expected. Is that the because of the additional features et cetera?
Glenn Lurie: Yes, it was a -- it's a bit more and also remember with us having done this in Japan, and having the expertise and the capabilities, we're going to support CCMI in any way they ask us to. And obviously, in this case, they've come to us for some support, and we'll continue to be there for them and be the best partner we can be.
Operator: And we have reached the end of the question-and-answer session. And I will now turn the call back over to management for closing remarks.
Glenn Lurie: Yes, thank you very much. Again, thank you everybody for joining the call today. We appreciate you listening and support. And like I said in my comments, the team is very, very excited about where we are and positioned in 2020, and we look forward to talking to you again next quarter.
Operator: This concludes today's conference and you may disconnect your line at this time. Thank you for your participation.